Operator: Ladies and gentlemen, thank you for joining us today. My name is Faith, and I will be your conference operator for this session. Welcome to Grab's Fourth Quarter and Full Year 2024 Earnings Results Call. After the speaker's remarks, there will be a question-and-answer session. I will turn it over to Douglas Eu to start the call.
Douglas Eu: Good day, everyone, and welcome to Grab's Fourth Quarter and Full Year 2024 Earnings Call. I'm Douglas Eu, Director, Investor Relations and Strategic Finance at Grab. And joining me today are Anthony Tan, Chief Executive Officer; Alex Hungate, President and Chief Operating Officer; and Peter Oey, Chief Financial Officer. During this call, we will be making forward-looking statements about future events, including our future business and financial performance. These statements are based on our current beliefs and expectations. Actual results could differ materially due to a number of risks and uncertainties as described on this earnings call in the earnings release and in our Form 20-F and other filings with the SEC. We do not undertake any duty to update any forward-looking statements. We will also be discussing non-IFRS financial measures on this call. These measures supplement, but do not replace IFRS financial measures. Please refer to the earnings materials for a reconciliation of non-IFRS to IFRS financial measures. For more information, please refer to our earnings press release, remarks and supplemental presentation available on our IR website. And with that, I will turn the call over to Anthony to deliver his opening remarks before we open it up for questions.
Ping Yeow Tan: Thank you, Doug. Fourth quarter was our strongest quarter ever, closing out 2024 on a strong note as we relentlessly executed on our product and tech led initiatives. This drove an acceleration in our on-demand GMV to 20% year-on-year. Product initiatives launched in 2024, and targeted at improving the affordability and reliability of our on-demand services resulted in a new record of transacting users on Grab. Today, we have achieved strong product market fit with features such as Saver Rides and Priority Deliveries across all our markets. The strong top line growth, coupled with ongoing cost discipline across our business units, has enabled us to continue scaling the platform in a profitable manner. We achieved our first full year of positive group adjusted EBITDA of $313 million, coming in at the upper end of our upgraded guidance, and positive full year adjusted free cash flow of $136 million, which improved by $370 million year-on-year. Building upon the strong foundations we've laid in 2024 to scale our platform, we see plenty of headroom to further outserve the millions of users and partners across Southeast Asia this year. We will continue to evolve our product strategy to harness the power of our ecosystem. As a result, we expect to maintain our on-demand GMV growth momentum in 2025. And concurrently, we will take a balanced approach to drive a continued expansion of our adjusted EBITDA and adjusted free cash flow, while also being highly disciplined on our use of cash. With that, we now open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Pang Vitt from Goldman Sachs.
Pang Vittayaamnuaykoon: Congratulations as well for another great set of results. Two questions from me. Firstly, just wanted to have a better understanding about your product mix shift. Saver is already 1/3 of your deliveries and 26% of the mobility transactions. How should we expect the mix shift to transform over the years? And how will this impact your margins, especially in mobility, where we start to see your margins now dipping to 8.4%? That's question number one. Question number two, on FinTech. We see that the loan book grew to $536 million. Revenue also grew nicely to $74 million. However, EBITDA losses were slightly higher on a quarter-on-quarter basis. Help us understand where you are spending more? And when will we see the inflection point towards profitability?
Alexander Charles Hungate: Okay. Thanks, Pang, for the questions. This is Alex. Let me answer both of those. So first of all, on the dip in margins and deliveries this quarter, as you know, we don't operate the business on a short-term margin optimization basis, but we are trying to drive absolute EBITDA and free cash flow growth. So you will see these kinds of fluctuations in our segment margins from quarter-to-quarter. And then sometimes incentives go up, go down, in order to make sure that the marketplace health is in the best possible state and that we're really driving improvements for our consumers. What's key though is like on a full year basis, if you look back, deliveries margins did expand 70 basis points year-on-year -- and the mobility margins also remained stable. And obviously, you've seen now this acceleration in growth, which is a big objective for us. As we look forward to 2025, now trying to address your question on mix. We will continue to grow this momentum, and you will see us focus equally on the high end of our price laddering as we are on the affordability and the price laddering to make sure that we keep that balanced approach to margin growth as well as overall GMV growth. And I could take this opportunity to reconfirm our commitment that the long-term steady-state delivery margins will be 4% plus, in line with the prior guidance that we've given. And then the mobility margin is 9% plus. So we're still very confident that that's where this business will end up. In terms of some of the growth drivers for our high-value services to better serve that segment and to make sure that we keep the margins balanced. I think our partner strategy is very important for that. So we have supply partners like Blue Bird in Indonesia, for example. We have grocery partners, examples of SM and Robinsons in the Philippines; brand partners like Coke, where we've done the Coke&Go initiatives to drive benefits for consumers together. And then, of course, we've got a great set of partners for the banks in each of the 3 markets, Singtel, [ Quackr  and TEK ], totally blue chip with great customer bases for us to expand our ecosystems. Maybe I'll turn to your second question now, which is on the financial services loan book and the increase in costs as we grow. So firstly, just to recap for everyone on the call, we've got 2 different businesses within the Financial Services segment. We've got the Digibank and we've got the GFin. So on the Digibank lending first, the loan products were launched very recently in the fourth quarter. And so we're really growing those fast and scaling while within the credit risk appetite that we've set out. So we do expect the Digibank to continue to see increase in direct costs with these new launches. Firstly, the Flexiloans in Malaysia is just launching for the first time for consumers and then the MSME products for small businesses also just launching in Malaysia and Singapore. So we're supporting those launches currently and that obviously brings some increase in direct expenses. But probably more significantly, as you understand, with the loan growth at this rate, for example, GXS in Singapore doubled their loans year-on-year. We do need to build up balance sheet provision. So we're running these ECL through the expense lines of the P&L as we grow. And obviously, as the credit models develop, et cetera, it's good to have a strong balance sheet. But as those credit models develop, we'll be able to sharpen our pencils on that overall. And that will be a driver of the return to profitability because we are confirming what we've told you before that financial services overall will be profitable by the second half of next year. And the banks overall will be profitable by the fourth quarter of next year. On the GFin side, so that's the bank side. On the GFin side, it's already providing good risk-adjusted returns on capital. In fact, comfortably above the Grab's own cost of capital. So that's a strongly performing business with good returns. So we'll continue to put that across our ecosystem. Hopefully, that's helpful to give you some character of the way financial services is growing and continuing to improve.
Operator: Our next question comes from Venugopal Garre from Bernstein.
Venugopal Garre: I have 2 questions. First one is a question on management's guidance philosophy entering into this year. Now we've seen in prior years that we have demonstrated a track record of beating and raising your numbers through the year. And of course, the implication of that is that you typically start with a softer guide at the start of the year. Now my question is that while this time around your guidance for sales and EBITDA is pretty much in line with consensus, and of course, I'm ignoring Bloomberg's incorrect reporting on sales guidance versus estimates. Do you really see this juncture a room for upside to your guidance? And what have you broadly baked into the assumptions. So that's the first question. The second question that I would like to ask is a bit more medium to long-term in nature. If I want to take a step back and look at the bigger picture, how do you plan to balance your priorities and the capital allocation between various initiatives, which I guess I put out there for you. Specifically, I would like to sort of discuss autonomous vehicles versus, say, the speculated -- widely speculated innovation M&A as well as your expansion into Digibank. So how would you balance between these probably say exciting, but relatively more resource-intensive banks?
Peter Oey: Venu, this is Peter. Let me take the first one around guidance philosophy. And I'm going to ask Alex and Anthony also just to chime in around your second part of the question, around where we think we'll -- from your question around priorities and capital allocation. So let me just tackle the first 1 on revenue -- on guidance itself. The 2025 EBITDA guidance is a 40% to 50% growth relative to 2024 levels. And the revenue growth that we're forecasting also is somewhere between 19% and 20%, 22%. It's a strong top line growth. If you look at where we landed in 2024, we landed revenue somewhere around the 21% mark on a constant currency basis. Now around guidance philosophy. And if you look at since we went public 2 to 3 years ago now, there is a pattern that you're seeing. And as a management team, we embrace the philosophy of [ being race ] when it comes to our guidance, especially on the EBITDA side as well as on the revenue. So when we put out numbers at the beginning of each year, we do bake in some potential uncertainties that we can predict -- and I'll give you a couple of examples of that. We looked at, from a seasonality perspective, especially in the first quarter, the first quarter is a very important quarter for us, where we look at the Ramadan and the Lunar New Year, where this year, it's a little bit odd where we do have a convergence of those 2 festivities all in the same quarter versus last year or the previous years, where the Ramadan actually extends to the second quarter of the business. The good news is we're seeing a very strong January so far, but it's too early to tell. So there is some uncertainty that we're baking in on the revenue guidance and the EBITDA guidance. Now as the year progresses, and you've seen this in the last couple of years, the outlook improves. And we make those adjustments to reflect the latest outcomes in the business. And also, we always remind our investors to take that lens when it comes to considering our guidance, especially at the beginning of the year when we put out there. Let me just finish off. Most importantly, we always take, as a management team, a balanced approach when we are driving 2 things. We're driving top line growth, and you're seeing that momentum in the business. Second half was critical for us to exit strongly because that will set us up with 2025 and you saw that on-demand GMV growth at 20% on a quarter -- on a year-over-year basis and also maximizing adjusted EBITDA and free cash flow on an absolute basis. and we're very committed in growing that EBITDA and free cash flow in 2025. So Venu, hopefully, that will give you some picture and also how we think about our guidance philosophy. And your second part of the question, there's an area here where I think we would need to address, which I'll ask Alex and Anthony to chime in.
Ping Yeow Tan: Yes. Thanks, Peter. I totally agree, Peter. And hey, Venu. So first of all, with regards to what Peter shared, I think we are very bullish. We believe that there is plenty of headroom to drive organic growth in Southeast Asia specifically in mobility, in food, in groceries. The addressable market is still significantly under-tapped. We've shown and proven we've had an all-time high of 44 million MTUs and this represents about 17% growth year-on-year, but we are still only serving 1 in 20 Southeast Asians. So we are actually just scraping the surface in terms of users that we can outserve across this region. So what does that mean for us? We are going to double down on the core because the core is still expected to grow strongly. And on top of this, we are also looking at the new growth areas. Now specifically, you called out AV or autonomous ride hailing. For me, personally, AI and robotics are top of mind. As you know, when large language models were first released, we leaned in very early last year to drive GenAI adoption across the org. Now on AVs, we've been watching this space closely and are very excited about the long-term opportunity related to this tech. I personally and our leadership has actually taken many rights across the world, across various brands, just to understand and be forward leaning in this space. We believe we are in prime position in supporting the AV transition over the next few years. And we have a very significant role to play in this region by a hybrid AV human fleet. When we think about our right to win, we have strong relationships with players around the world as well as OEMs. We have the highest utilization across the whole region. We have a long track record of working hand in hand with regulators and governments to ensure passenger and driver safety. So as we think about this AV transition, we're also proactively thinking about how can we play a part on upskilling our driver partners as part of this shift because that is core to our mission and an important aspect of our strategy. As we've shown before, we've collaborated with global partners like Mastercard and Microsoft and have a track record of working governments and regulators to up-skill workers, to upscale our driver partners and to equip them for more tech-enabled future. So going forward, I can confirm we are in active discussions with regulators. We intend to work closely every government in Southeast Asia to drive this forward. We do anticipate a longer road to mainstream AV adoption in other parts of Southeast Asia, and this is because road infra is different, regulations are different, but we are very excited about this space. So in the meantime, we are actively pursuing several partnerships, and we'll look to share more updates in the coming weeks. Alex, go ahead.
Alexander Charles Hungate: Thanks, Anthony. And on the question of allocation towards organic growth, particularly Indonesia, we're very happy with the acceleration of our on-demand GMV overall as a group. In Indonesia, in particular, on demand, GMV grew 10% quarter-on-quarter, so faster than our overall group average actually. It was an important focus for us in 2024, and Indonesia will remain a key focus for us to serve our drivers and merchants in 2025. I mentioned the partnership with Blue Bird earlier, and we're also expanding our EV fleet with BYD. So we're adding more drivers and more merchants in the quarter. The online earnings for those drivers per hour and the average deliveries merchants earnings have also increased. So I think we have a very healthy and fast-growing marketplace. And we continue to invest, not just in Indonesia but across the region on some of our tech advantages like mapping, hyper batching, just in time allocation as well. These are very difficult for competitors to replicate. So we're doubling down on organic opportunities in Indonesia and across the region.
Peter Oey: Venu, just to add to Alex, from an inorganic perspective, because your question is around capital allocation and also we do balance priorities but then just chime in here a little bit just to give context. As you know, as a management team, we have a very high bar when it comes to inorganic opportunities. And these opportunities we evaluate on a case-by-case basis, but the bar is very high. We have to make sure that key synergies and value add is instrumental in these inorganic opportunities. And this is very consistent with our capital allocation policy that we've shared many times with all of the investors. In terms of the capital allocation framework, it's always been very consistent. Organic growth comes first in the business, and that's to drive EBITDA growth and free cash flow. And second is having that high bar on M&As that I just talked about. And then third, when there is excess capital, as a priority, we will return it to our shareholders. So we're continuing to deploy those capital allocation framework and 2025 is no different for us. So hopefully that's helpful in addressing your questions.
Operator: Our next question comes from Alicia Yap from Citigroup.
Alicis a Yap: Congrats on the solid set of results. I have 2 questions. First is that can you share the updates on the cross-selling of the delivery business with Food and Mart? Can you compare and contrast the AOV for users that use both versus the user who only use food delivery? And how do you anticipate the increase in the AOV and the wallet spend growth of user on your platform over the next couple of years? Second question is, can management elaborate on how you foresee AI further enhancing your cost optimization efforts and the demand generation capabilities. Specifically, what is management view on China's DeepSeek model versus your experience working with OpenAI as your lighthouse partner?
Alexander Charles Hungate: Thanks for your questions, Alicia. Let me take the first one on the ecosystem and cross-sell because that's at the core of our strategy. You're right, cross-sold users continue to show improving uplifts Q-on-Q. So let me see, users who transacted in both Food and Mart have average spend, which is 4x higher and then frequency uplifts are 2.5x higher. So this is a really key linkage in our strategy, and it gives us an advantage versus vertical -- single vertical competitors in on-demand. The retention rate is also twice as high than the Food-only owner users. So that's super important as we continue to grow and look for efficiencies with the scale. The ecosystem doesn't end with on demand, though. As you know, the growth of financial services is giving us lots of opportunities, too. And I don't know if I should -- maybe I'll flag also that the grocer is growth. Grocery deliveries is actually faster than the food delivery growth for the second quarter in a row. We're very excited about the potential here. The penetration of Groceries is still very low in our ecosystem, and we intend to continue to grow this with strong partnerships market by market. I think what we've done with Jaya in Malaysia demonstrates what can be done to grow online deliveries as a share of overall revenue. And the tech that we've developed there very closely in Malaysia, we're now sharing with some partners like SM in Robinsons in Philippines and Transmart in Indonesia. And that is powering this exceptional growth that we're seeing on demand side. So for the first time now, we're actually instead of selling from Food into Mart, we're now looking at selling the other direction from Mart back into Food from -- these new users who are coming into our ecosystem from partnerships. And then the financial services side, I think you can see from some of the slides that we sent out this morning. There's great acquisition opportunities. 90% of the GXBank customers in Malaysia came from Grab and the acquisition cost is minimal. The speed at which we've been able to gather deposits and open new accounts we're now up to 4 million new accounts across the 3 banks is very, very pleasing indeed. And it shows the power of the ecosystem and the brand in low customer acquisition and cross-sell.
Ping Yeow Tan: Maybe if I can just jump in and talk about the GenAI and specifically, you referred to OpenAI, DeepSeek and other cost optimization efforts. So I think Alicia, as a company, we've been actively leaning in -- really leaning in, I would say, in embracing GenAI right from the beginning. OpenAI is one where we've been very blessed with being the first lighthouse partner that they chose in Southeast Asia, and we built a strong partnership with them to solve complex problems that drive benefits for our ecosystem users and partners. But we also work with other multimodal, foundational models across the world. And let me share one example where we use our multimodel, our merchant AI assistant. Our merchant AI assistant today really addresses a major pain point. Today many merchants, especially long-tail merchants, they don't have account managers and they need help. These merchants always create more insights, especially insights on how to boost sales, how to target users and they are really starving for these solutions. So what do we do? How did we leverage AI? We saw this as a perfect opportunity for GenAI to enhance the earnings potential or our partners on our platform. By leveraging GenAI, we developed a self-serve chat bot, providing our merchant partners with precise recommendations, answering what is business related, example, top-selling menu items to how to be an even better chef to how to be even a packaging master for their customers and really gives them ways to optimize, for example, their recommendations, their ad spend and their user targeting. As a result, we saw a 24% uplift in ad spend among merchants who engage with our merchant AI assistant versus merchants who did not. And we saw sales uplift among those margins as well. Now for all our merchant partners who hear this, we highly encourage you to try this solution and I hope that you will find it a useful tool to generate stronger sales and let's continue to innovate together. But in short, I will say this. We are going to continue leaning heavily, Alicia, in GenAI and we're exploring ways where we can further integrate these solutions that drive higher sales, more productivity improvements for our workforce. 2025 is the year of agentic AI, and I foresee we all as a leadership, foresee that we will be rolling out even greater personalized solutions for our ecosystem partners.
Operator: Our next question comes from Mark Mahaney from Evercore.
Mark Stephen Mahaney: Okay. Two questions, please. First, MTU net adds were relatively high. Just talk about the source of where you're bringing in new users? And anything you can tell about their engagement levels versus prior cohorts? And then I'll ask about consumer incentives. So they have jumped up both on mobility and the delivery side as a percentage of GMV to pretty high levels, especially versus the last year or 2. What I'm trying to understand is, is that something structural? Or is that consumer incentive spend in advance or in alignment or in support of this some of the newer products that you're rolling out on the value side, high end, low end? So just talk about what the -- how we should think about those consumer incentives if they're to support these sort of relatively new product launches and therefore, over time, they should step down in intensity or whether we are structurally at a higher level?
Peter Oey: Mark, let me take the incentive questions, and I'll ask Alex to chime in on the MTU front, it's a key focus area for Alex, and we're seeing some really good fruits coming out of that. So on the incentives, you'll see that our incentives, mobility and deliveries move up and down quarter-on-quarter. And that's deliberate, and that's intentional, and it's in line with our expectations. A lot of that is driving product adoption in our business. And you referred to the MTU growth, for an example, as a question of that. But also, we're driving frequency in terms of our products. Now as you know, we, as a business don't operate to short-term margin percentages, but really focused on that dollar EBITDA free cash flow and we reinvest in those areas to get product adoption. So there is a function of really going to market and using that lever to drive growth in the business. But you'll see that incentives move up and down. If you step back, actually, if you look at our mobility incentives and margin, it's actually stable on a year-over-year basis at 8.6%. And if you look at our deliveries margin, on a full 12 months, it was up 90 basis points also. So we use that, the lever as a critical factor on -- especially on product adoption. Alex, do you want to just chime in on the MTU side?
Alexander Charles Hungate: Yes, Mark, you're right. The MTU growth, in fact, acceleration is something we've been really focused on. One of the big drivers is the affordability products, both for deliveries and mobility. 1/3 of the new MTU this quarter were either new or reactivated users and a lot of that is coming from the affordable products. We are balancing that with high LTV users, as I mentioned earlier, particularly travelers, which has been a big driver of new MTUs as well, typically spending something like more than 2x what a domestic user would spend. So we have high-value premium users growth as well. I can confirm that the product holdings of 2 or more is still more than 2/3 of our users. And so you -- speaking to Alicia's question earlier, we've still got really good cross-sell ecosystem performance. And then the older cohorts are also still spending more. So we're seeing deliveries the same growth across all cohorts, even for the pre-COVID cohorts of 2018, 2019. So I think what you're seeing is that our product-led strategy more than our incentives is what's enabling us to grow MTUs faster than the market. And although as Peter said, we need incentives from time to time to launch new products, and we have been launching some really significant new products, for example, group orders and family accounts are viral products where the ecosystem starts to grow itself. That's a quarter-to-quarter feature rather than a structural change.
Operator: Our next question comes from Jiong Shao from Barclays.
Jiong Shao: I have 2 questions. But firstly, I have a follow-up what Peter mentioned earlier on the guide. It's great, Peter, you said, you started off the year with something conservative and the base case is beat and race, that's all we'd like to hear. Your guidance indicated the -- although you didn't guide on the GMV, but only guide on revenue, but it appears to indicate the acceleration in growth in '25 vis-a-vis '24 and your GMV revenue have indeed accelerated over the last 2 quarters in a row. I just want to confirm that's still kind of the expectation reasonable to expect the accelerating growth in both Food and Ride is going to continue in 2025 vis-a-vis '24? That's my first follow-up. And I have 2 separate questions later.
Peter Oey: Sure, Jiong. So we are seeing good momentum on on-demand GMV growth. We put it, it's been a momentum that been intentional on our part and driving growth. We just talked about MTUs, for an example. But at the same time, we're also watching the dollar EBITDA and the free cash flow that we can generate from the on-demand business. What we expect going into 2025 is for that on-demand GMV growth momentum to continue. Alex talked a lot about product features and investments that we're making. Anthony talked about AI, also as part of that. So it's a combination of all these things that we feel that we want to continue to fuel growth in our business. And we saw a very strong exit in Q4 that really sets us up nicely as we go into 2025. Hopefully, that gives you a bit of picture.
Jiong Shao: My first question is that I know you talked about autonomous driving robotaxi and EVs in your press release, access to 50,000 BYD EVs. I want to -- I know also Anthony mentioned those topics earlier as well. I want to understand a couple of things here. One, by using EVs, naturally, they don't burn gas, would that matter? How does that affect your margins? Like does that make any difference for your long-term EBITDA margins for your Rides business, for the Mobility business? And then back to the robotaxi, I know you are focusing on sort of the autonomous driving/robotaxi. But on a high level, just for me to understand, well, drivers costs are kind of low in Asia. How the calculus work? Does that make sense at all to have robotaxi in places like Southeast Asia or even in China? Just want to pick your brand on this. So that's my first question. Let me stop here.
Alexander Charles Hungate: Jiong, this is Alex. Let me take that. Firstly, EVs, we're a triple bottom line company. So we want to encourage cleaner transportation. But we are also seeing that it reduces the drivers running costs. And that's important to us because our objective over time is to push out the price reliability boundary every day, improving bit by bit. And that means that we can take a larger share of the overall transportation TAM in Southeast Asia. We've been doing that successfully with a lot of tech improvements as we've talked about on this call. But one of the drivers is the cost of ownership of the vehicles for our drivers. So we know that EVs, particularly with the price point being coming down rapidly over the last couple of years are one of the ways to unlock even better affordability. The infrastructure in Southeast Asia is improving. A lot of governments are leaning into this. So that's why we want to encourage EVs and work with some of these big partners like BYD. On AV, unit economics will also continue to improve. We know that the supply chain for AVs is built on top of the supply chain for EVs. So a lot of what I just said about the improving unit costs will translate through into AVs over time. This is not going to happen overnight, particularly in Southeast Asia where labor costs are lower than places like the U.S. but it will happen. So as Anthony said earlier, we're really intensely leaning in making sure that we are proactive and we're one of the key players in leading how it is introduced safely into this region.
Ping Yeow Tan: I'll just add to Alex. Alex is totally right, Jiong. The key as we think about AV is not just AVs. AV is a hybrid fleet complemented by human fleet. And we see a very nice symphony, where there are areas that are poorly served, say there are parts in Singapore, if you do live in Singapore, you will see that the areas that are, I would say, harder to serve by humans drivers, and this is where robotaxi would really keep improving fulfillment rate and customer satisfaction. So those are places that are ripe for, I would say, introduction and pilots in the future.
Jiong Shao: Okay. Great. And actually, my second question is about Singapore. We have seen the news today, maybe yesterday, it was about a corporate tax rebate, which is fine, but it's more interestingly relevant to you guys. We have seen some like talking about vouchers, pretty sizable vouchers for individuals and family to spend for those of us living Singapore, in this case. Could you sort of elaborate on exactly what are some of those incentives? How long is that for the whole year? Or does that affect Grab's business? I remember a couple of years ago or maybe longer ago, when you went IPO, Singapore was a sizable part of the business, 40% or maybe even higher. But what is Singapore now as a revenue contribution to Grab, the overall revenue now?
Peter Oey: Jiong, let me take that. Look, the budget just came out a couple of days ago, we're still going through it. We're assessing it. I have to commend to the Singapore government in how they're supporting the economy and also for the everyday Singaporeans out there. We were excited in terms of what they're doing in terms of vouchers, as you mentioned, tax rebates also for the businesses. Those are the right things. And again, Singapore is a very thriving economy where there's a lot of very strong businesses here which is growing. And we believe that these things on tax rebate actually will benefit a lot of our small merchants that we operate with in Singapore today. We want to see more merchants in Singapore that we can actually support for the vouchers. I think it's great for the economy overall for the everyday Singaporean. Again, they'll benefit from that. And also, we see that as -- hopefully as a beneficiary of that as they use transport services and also use our food services. So I think overall, Singapore is thriving. Singapore is advancing, we're in lock and set with the Singapore government on many areas. And we feel that with all the services that we have, including the banks, we're set up to continue to grow Singapore.
Operator: Our next question comes from Divya Kothiyal from Morgan Stanley.
Divya Kothiyal: Two questions from me. Just maybe it's a follow-up on the mobility margin. Product mix is definitely one of the reasons as we noticed that the Saver rides is 300 basis points higher. But just curious to know if there are other factors that have also affected the mobility margin in the fourth quarter. Maybe if you can comment on the competitive landscape and how our market shares have evolved in various countries in 2024 versus 2023? And my second question is on corporate costs. They fell another 13% year-on-year in the fourth quarter. So we've been executing pretty well on corporate costs despite the tremendous growth we've seen in orders. Could you comment on the outlook for 2025 and if you can continue seeing this kind of savings?
Alexander Charles Hungate: Thanks, Divya. Let me take the first one on the mobility business. We are very focused on growing affordability. You can see that has helped us expand MTUs. It's also helped us to improve frequency across all cohorts. So we know this is a good strategy. We've launched some new capabilities in this sense. We got family accounts for mobility, which is, I think, going to help us with frequency and retention. We've also got high-value rides and some new partnerships like Blue Bird, advanced booking for those critical like airport type rides is also a new launch across all regions. There are always competitive factors from time to time in various markets. I can confirm in every market we remain the competitive choice leader for mobility across all of our markets. Overall, across the region, we maintained or grew our CP position. So I think we're highly competitive, particularly with these new markets. We are the only multi-vertical competitor across all markets in the region. So that gives us cross-sell benefits, that gives us scale benefits and that allows us to continue to invest in some of the new technology like AI where we can amortize those costs across a much larger user base. So I think on that basis, we're well set up, I think, for continued mobility growth. And I would, as I mentioned earlier, but I say it again, reiterate that we believe that our mobility business will reach 9% plus margins in the steady state.
Peter Oey: Divya, on your copper cost question, you're right. We've made a lot of progress in optimizing our cost base as we exit 2024. And what you saw in the fourth quarter was a combination actually of reductions in variable costs and staff cost also as we continue to tune our cost structure in the business. Now as we think about 2025, with the strong on-demand GMV that we expect, there are variable cost components, things like cloud, direct marketing costs, which are housed in the central cost bucket actually will increase, that's natural, but we'll offset those by operating leverage also, which we'll expect to realize from the continued volume growth that we're going to see in 2025. Stepping back, we expect to see more efficiency gains in our cost base as a percentage of revenue. But we do anticipate copper cost to increase just naturally because on a year-over-year basis, on an absolute dollar basis as we make those investments in on-demand GMV growth as well as also as we make into investments like what we talked about earlier in the call regarding AI for an example, continued IoT investments, mapping infrastructure which are all important pillars in making sure the foundation of our business continues to be solid. So we're making also those long-term growth investments as part of our regional corporate costs. But stepping back, what I can say is, if you look at our group EBITDA to revenue margins, what we expect in 2025 as a revenue margin, we look to improve that by about 200 to 300 basis points in 2025. And that's because we're driving more operating leverage also in the business. So hopefully, that gives you a bit of a picture in terms of how we think about operating leverage and cost structure of our business.
Operator: Our next question comes from Thomas Chong from Jefferies.
Thomas Chong: My question is about our advertising monetization. Given our focus in technology and AI, can management share about the percentage of our merchants using our advertising solution? And how are we actually seeing their business performance versus both without advertising? And my second question is about our 2025 guidance, in particular, about the Forex trend. Given that the U.S. dollar, I think, appreciate/depreciate from time to time should we expect there will be 2 sets of year-on-year growth numbers taking into account what is for local currency versus those in U.S. dollars on a quarterly basis?
Alexander Charles Hungate: Thomas, it's Alex. Let me take a question on advertising, which obviously is one of the big drivers of our long-term deliveries margin target and is increasingly also contributing to mobility as well. The penetration of GMV for advertising did increase again, improved again to 1.7% in the fourth quarter from 1.4% in the same period last year. So that is a proof point of our continued traction we're getting on advertising. One of the big drivers for that is the penetration of our merchant base, which I think was part of your question. I can confirm that the penetration of the merchant base increased significantly over the course of that year. So more of our merchants are using our demand generation tools. The retention of those merchants on the advertising platform is very high, something around 75 percentage points. So this is working for them. Return on advertising sales is between 5 and 8x on the platform, so depending upon the size of the merchant and the strength of their brand. So our -- and yet the penetration of our merchants is still less than half. So I think over the medium term, and in fact, throughout 2025, we will continue to drive the penetration. We will continue to improve the capabilities of the self-serve tools in particular. So that the very large merchant base that's on the Grab ecosystem, these tools available so that they can continue to grow their business and become successful growth businesses on the Grab platform.
Peter Oey: Thomas, on your FX question, I think it was around how FX was impacting to our current guidance. Let me give you a few data points. On a year-to-date basis, we're facing about a year-over-year headwinds of roughly about 30 basis points. And on a Q-on-Q basis, FX headwind is roughly about 140 basis points on a year-to-date. And for the rest of 2025, from a guidance perspective, internally, we're using our prevailing spot rate in determining our current outlook for full year GMV and revenue. And we'll continue to monitor that spot rate, obviously, it moves around quite a fair bit. Again, part of that, going back to a couple of questions around our guidance philosophy. And at the beginning of the year, we tend to be a little bit more conservative on the FX side also, but that's how we're thinking about the FX movements.
Operator: Thank you. I will hand it over to Peter for any closing remarks.
Peter Oey: Great. Thanks very much. Thanks, everyone, for listening and investing the time for us today. In closing, Anthony, Alex and I would just like to express our sincere appreciation to all our drivers and merchant partners. We had a great 2024. All of that was not able to be accomplished without the support from all our drivers around Southeast Asia and through our merchant partners that we serve. Also to all our customers out there, who is vividly continuing passionately to use our products. Thank you very much and also for our shareholders for all their continued trust in Grab, and also for the Grabbers out there who's really been speed heading the growth of our business in the last 12 months and really just supporting the business. So thank you to all these folks. Together with the IR team, Ken, Doug and I will be on the road over the next few weeks. We'll be attending various IR conferences across the U.S. West Coast and also in Asia in the coming weeks. We'd love to see you, meet up with you and approach us -- any of us, the IR team if you wish to meet up as we spend some time meeting investors over the next few weeks. So thanks again, everyone, and have an awesome day. All right, until next quarter.
Operator: This concludes Grab's Fourth Quarter and Full Year 2024 Earnings Results Call. Thank you for your participation. You may now disconnect.